Bjorn Tibell: Hello, everyone, and welcome to the presentation of ASSA ABLOY's Second Interim Report in 2023. My name is Bjorn Tibell. I'm heading Investor Relations. And joining me here in the studio are ASSA ABLOY's CEO, Nico Delvaux and our CFO, Erik Pieder. We have set aside about one hour for this call as usual and we will now start with a summary of the report before we open up for your questions. So with that, over to you, Nico.
Nico Delvaux: Thank you, Bjorn. And also good morning from my side. We can report good results for Q2, I would say despite more challenging residential market environment and despite a difficult comparison with a year ago and the fact that we have one working day less this quarter. We nevertheless were able to show an organic growth of 3% in the quarter. We have very strong sales growth in Global Technologies and a continued good sales growth in Americas. We complemented that organic growth of 3% with a strong growth through acquisitions of 6%, above our ambition level and that contribution of growth through acquisitions will now also continue at least for the next four quarters because we were also able now to finally close the HHI acquisition in the quarter. Very strong operational execution with a strong EBIT margin of 16.7% if we exclude HHI, a record EBIT of SEK5.5 billion, also a record operating cash flow of SEK6.7 billion, 76% up. So really strong performance on all three items. And then as we mentioned earlier, we booked one-off costs in Global Technologies related to impairment of goodwill and intangible assets in our Citizen ID business. If we look at the numbers. Sales of SEK34.5 billion, 17% up. Like I mentioned, 3% organic growth, 6% growth through acquisitions and then helped by currency of 8%. I will comment on profit margins excluding HHI and then Erik in his part will then comment on the margins including HHI. So an EBITDA margin of 17.3% and, like I mentioned, an EBIT margin of 16.7% and then EBIT 29% up, and EPS 18% up. If we look at then a little bit at the different regions in the world. Starting with North America, continued strong performance, an organic growth of 5% where we continue to see good momentum on the commercial side, where our spec business is still up high single digits compared to a tough comparison a year ago. We have obviously seen a decline on the residential side in general and on new builds in particular affecting in the first place our garage door business, our residential garage door business, our perimeter security business, the part that is residential related, and then also our window hardware business that is an export business from Australia to North America. We must say that we are a bit more optimistic, perhaps on the residential business in the US than in other parts of the world, where we believe that we might have had the worst behind us and that we should see a bottoming out of the residential decline and should start to see already improvement now in Q -- in the second half of this year and then definitely going into next year. Continued strong South America, also here 5% organic growth with, I would say, all countries contributing in a good way. Africa plus 13%, Australia and New Zealand plus 11%, a continued strong core business in Australia and New Zealand on the commercial side, very similar picture on the residential side, where also in Australia and New Zealand residential business suffers and new build suffers even more, but continued good momentum on the commercial side. And then Asia, plus 9% with a very strong Middle East, a very strong India and a better Greater China where our external negative growth in Greater China was only very small single digit negative. It was more down on the intercompany side because our sales towards Australia, New Zealand, EMEA, and Americas went more down. So Greater China together had a higher single digit negative growth still in the quarter. Let me come to Europe, the more challenging part in the world, I would say with a minus 2% organic growth. Especially for EMEIA, our residential part of the business saw a important decline as well on the R&R side as especially on the new build side, I would say for all regions, but in particular also for our Nordic region and Sweden in particular where our OEM business saw a higher double-digit negative growth in the quarter. And as residential is a bigger part of our EMEIA business that affected the EMEIA division, resulting in an important way. The commercial side in Europe, very similar to the US, still good momentum with our spec business up higher single digits. And I would say in general, on the commercial side, it's not the market that is our biggest concern, it's more the high comparison with a year ago. If we then look at some market highlights. Also this quarter, some nice project wins. A service contract for more than 5,000 pedestrian doors for retailer in North America. And then good to see also that our mobile credential strategy continues to pay off in different verticals. We have a leading coastline company that now invested in mobile key capabilities and we have also a significant order for physical access control in a major global bank that is also calling in for our call this morning and where we also will implement an mobile credentials into the Apple Wallet. Our R&D effort continue to pay off. DoorBird got a design award for their IP video solution and then we launched also several new products in this quarter. Just to name a couple of them, we launched the first facial recognition lock in India for Yale and we launched also a competitive range of IoT-enabled dock levelers that will increase operational efficiency and safety for the logistic vertical. Now, 10 consecutive quarters with positive organic growth and in recent quarters that organic growth also complemented with very strong growth through acquisitions. An improved operating margin. Like I mentioned, if we exclude HHI in the quarter at 16.7%, if we exclude HHI on a 12-month moving trend at 16.2%. So, well within the bandwidth of 16% to 17% we aim for. Even if we include HHI at 15.8%, 12-month run rate very close to that bandwidth. So a stronger top-line and improved margin, therefore an accelerated operating profit, like I mentioned earlier, a record quarter. For the acquisitions also an active quarter with four acquisitions signed in Q2. Eight acquisitions signed in the first half of the year. We announced a ninth one this morning for Secure Issuance in HID in Global Technologies. Those eight acquisitions that we signed in the first half represent an annualized sales of SEK17 billion and of course the highlight is that we finally were able to close now the HHI acquisition. We celebrated that on day one globally in all the HHI entities. I was myself with HHI management last week. I must say, a fantastic team, we speak the same language, we have the same chemistry, a good chemistry between us and they were really happy to become now part of the ASSA ABLOY family and I'm absolutely convinced we will do very nice things together. If I then go a little bit into the different divisions, starting perhaps with a more challenging division EMEIA. An organic sales decline of 5% with a higher single digit negative volume growth and only strong growth in Middle East, India and Africa. Sales declined in other -- in all other regions in EMEIA. And like I mentioned, still good momentum on the commercial side but then strong decline on the residential side with especially on new builds, a higher double digit negative market development. And as in EMEIA, we have 45% of our business which is residential. Obviously, it affected the overall result in an important way. We saw the biggest decline in the Nordics and in Sweden, in particular. That's important from a top-line perspective. It's also important from a bottom-line perspective because Nordics and Sweden, in particular, are higher margin regions for EMEIA, therefore also an operating margin of 12.5% versus 14.4% a year ago. And I would say, despite the big top line-drop, they have done a good job in reducing cost. They showed a good operating leverage on that negative growth of around 35%. But obviously, all the cost measures were not good enough to keep the margin up. They were also not held by FX, a weaker SEK here with a dilution of 50 basis points, M&A gave us a dilution of 20 basis points. We are taking extra cost measures in this division and Erik will come back on the details. If we look Americas and other, I would say, star performance in the quarter, an organic sales growth of 4% on top of a very higher growth a year ago with very strong sales growth in general for all countries and all business areas and then a very strong execution with very strong operating leverage, giving us EBIT in the quarter of 24.1% if we exclude HHI and HHI related cost. That's a record quarter for the Americas. We also announced a new organizational setup for the Americas. We will go to a similar setup as we have in Entrance Systems with segments. So we will have a LatAm segment, we will have a North America Commercial segment and we have a North America Residential segment and we have appointed the three leaders for those segments and those leaders are now building their management teams. So still a very good result in Americas. APAC, an organic sales of minus 2%, we have very strong sales growth in South East Asia, stable sales in South Korea, where we see also market conditions further declining. And then a sales decline in Pacific and in China. In Pacific, like I mentioned earlier, if we look at the core business in Australia and New Zealand, we saw a nice positive growth. The sales decline is related to the window hardware business, which is an export business from Australia into US and obviously, also local business in New Zealand and Australia and a little bit in Japan and that window hardware business that goes mainly to residential new -- new build. Therefore, the bigger decline. In China, like I mentioned, if you -- if you look at final customer sales, China was almost flat, very small single digit negative growth. But the sales decline, mainly comes from inter-company sales to Australia, New Zealand and to Europe and the Americas. Then a very strong operational execution in this division, leading to an operating margin of 7.8% versus 1.9% a year ago. They were held by FX 100 basis points and were also held by M&A 70 basis points that is D&D Technologies acquisition in Australia. Then Global Technologies, I would say the star performer of the quarter. An organic sales growth of 20%. We have very strong organic sales in all business areas as well for HID as for Global Solutions with the exception of Secure Issuance, where we had a big order for big printers a year ago and therefore the comparison was more challenging and those big printers, that’s of course project business that goes up and down quarter-by-quarter, but overall very strong performance. Also very strong execution with an operating margin of 18.4% versus 15.3% a year ago. Strong operating leverage held by FX 70 basis points and M&A dilutive 60 basis points. And as we mentioned earlier, we also did an impairment of goodwill and intangible assets related to Citizen ID in HID in the quarter. Last but not least, Entrance Systems, a stable organic sales on top of, I think, 20% organic growth last year. So difficult comparison, but strong sales growth in pedestrian and in -- and in industrial. Compensating for the sales decline we see in Perimeter Security related to the residential part of Perimeter Security in the US and then a significant sales decline in residential. Also here, the vast majority of our residential business is in the US and an important part of that is going to residential new build. Strong growth in service delivering on our ambition to have high single digit service growth quarter-after-quarter. Very strong operational execution with an operating margin of 16.2%. Also on a 12-month moving trend, Entrance Systems is now well nicely, within the bandwidth of 16% to 17%, much earlier than our initial plan. So, very happy with the execution in this division. Very strong operating leverage, FX and M&A dilutive with 20 basis points and 10 basis points respectively. And with that, I give the word to Erik for some more details on the financial numbers.
Erik Pieder: Thank you, Nico. And also a very good morning from my side. As mentioned before, the numbers that you see here is including HHI. Nico talked before about the sales that was up with 17%. If we look on the operating income, it's up with 25% and we have an EBIT margin for the second quarter as well as for the full year on 16%, which is 1 point better if you compare to previous year and it's the best first half year that we've ever had. If you look on income before taxes, it’s up with 20%. There we have a higher financial net in the quarter, it was roughly [247] (ph) if you want to have the exact number, higher than last year and that's related to of course higher interest rates as well as higher cost for the HHI acquisitions than on the bridge loan. For the full year, we expect the financial net to be around SEK2.5 billion. Net income is up with 18%. There we have, of course, we have the tax impact from the divestment of Emtek, Yale, and August. If you look on the underlying tax rate, it still remains on the 25%. Cash flow, continuously very strong number. I'm very happy to see that we almost generated SEK6.7 billion, which is up with 76% versus a year ago and we have a 12-month rolling return on capital employed above the 17% and is 1.2 points better than the same period last year. If we dissect a bit and look into the bridge on the organic piece. We have 4% price, which then means that we have a negative 1% in volume. The flow-through ended up at 75%, 1.6 points helping on the result. This is related to price realization, lower costs for direct material, logistics as well as operational efficiencies. If we look on the operational efficiencies, we had a saving from the manufacturing footprint program of roughly SEK200 million and then Nico alluded to it before, but we have also implemented other short-term cost measure -- measures which in this quarter contributed with SEK150 million. I'll come back more to the details a little bit later on. The currency, of course, a big help on the top-line due to the weakening of the SEK but also due to the -- to the stronger dollar. It also helps us with 20 basis points on the bottom line. The acquisitions excluding HHI was at the same level almost as the Group. So it had no impact there. We see strong performance. Nico mentioned previously D&D Technologies. I would also like to highlight within Americas, the Control iD acquisition in Brazil. And as you all are aware, we finally closed the HHI acquisition and the divestment also of Emtek, Yale and August, 20th of June. I would agree with what Nico said, I was also there together with the team last week and there is a very strong team in HHI and I think this will be a very good acquisition. Anyhow, if we look on the sales, sort of the net effect was roughly SEK500 million. Of course the dilutive impact of 70 basis points on the result. We took in this month an acquisition cost of roughly SEK200 million. A little bit more highlight on HHI. If you look on the performance on -- for the first six months, the sales was roughly SEK750 million with an EBITDA margin of 12%. The financial impacts as we foresee now from the start, dilutive impact from HHI of roughly 70 basis points. And then we need to add, also the dilutive impact on the divestments of roughly 20 basis points. It will have a negative impact on EPS for 2023, of course, it's related to the interest rates, we will also have integration costs. But we expect it to be slightly accretive then for 2024 that is related to that, we will have lower integration costs. We will also have -- the synergies will start to kick in. We also expect to have higher interest rates cost due to the cash that we're able to generate. I would also like to highlight, I know this quarter is a bit messy with things that we have, let's say, below the line. That will continue for the next quarters. One is that we will -- well we are following the IFRS rules when it comes to valuating the inventory at distributor level, at the time of acquisition and then we will, let's say, take that during the turn of the inventory. That we will consider to be a non-recurring item, as well as we still have roughly another SEK400 million to go of exit costs from the divestment that we will also book below the line as non-recurring item for Q3 and Q4. As I mentioned before that we expect to have a good cash generation. One of the benefits that we have from this acquisition is roughly $50 million to $60 million tax benefits that we will have each year for the coming five years, which will of course, as I said, help on the cash flow. If you look on the exposure then from the group, we have previously said that we are roughly 75% commercial and 25% residential. With -- now with the acquisition of HHI, that would roughly go to one-third residential and two-thirds acquisitions -- sorry, two-thirds commercial.
Nico Delvaux: We reconfirm the synergies and the $100 million bottom line synergies that we will realize in the first five years after the acquisition, it's a lot of initiatives, lot of projects, several of which we already started. But if we group them a little bit in -- in the main four pockets, it's one on innovation and expanding our mechanical offer, I would say in the core of what HHI does today and then also innovate and expand our electromechanical digital offering and being in a driver seat in that shift from mechanical to electromechanical and digital at the front door and also in the house. Then we will continue to leverage the strong brands and further lift the brand equity of those brands in the US and definitely also internationally. And they have a fantastic cost-efficient manufacturing footprint on one site in Mexico that we can leverage to do more nearshoring for our North American business, and they also have a nice manufacturing footprint in the Philippines, in Taiwan, in China that we can leverage for, I would say, our global business. And then last but not least, we see good procurement and logistic efficiencies.
Erik Pieder: If we then go back to let's say the normal -- the normal -- let's say slide that we normally show. If you look on the cost breakdown, direct material has helped us with 2.6 points, roughly 160 basis points is related to the mix where we have a stronger Americas, we have a stronger Global Technologies and then we have also on the other side, I would say, a weaker EMEIA as well as a weaker APAC. But you boil down to that 1 -- 1 point or 100 basis points is related to that we see lower material as well as we see a lower logistic cost. Commercial cost is up with 40 basis points. We have lower volumes. Of course, we're impacted by the general inflation as well as salary increases, but we have been -- partly been able to offset that with the help of operating efficiencies. See the same in the SG&A, which is I would say diluting then on 50 basis points. The same there of course with the inflation, with the salaries, but we're also continuing our investments in R&D, but we've been partly been able to offset that as well with efficiencies within S&A. Going more into the cost actions and on -- we have increased our efforts on prioritizing manufacturing footprint project with a faster payback. It's not so that we are increasing the provision but is so that we are doing a prioritization of the projects, which means that now we go from a full year saving which previously indicated SEK700 million, we have now added another SEK100 million, so it will end up on SEK800 million for the full year, roughly half of that has already, let's say, been done -- has already contributed in the first half of the year. On top of that, we've also implemented a number of short-term cost measures. Expect the impact for the full year to be roughly SEK900 million. Out of that, one-third has already, let's say, happened in the first half of the year. So let's say we would have another SEK600 million cost savings then for the second half of the year. This impact, I mean this is sort of classical things like with travel, marketing, reducing the external services, reducing overtime as well as personnel redundancies. This is mainly implemented within EMEIA, as well as Entrance Systems within Europe. Operating cash flow as said before, it's a record SEK6.7 billion. We have a cash conversion in the quarter of a 132%. If we look on a 12-month rolling, we're at 113%. Here I would say, the star here is Entrance which has done a really good job on creating profit but especially then on the working capital performance. And of course if you -- sort of if you look for the full, of course, we have a good earning as well as we have been able to reduce our working capital in a good way which sort of -- which sort of is shown in our operating cash flow. The gearing, yeah, it looks, I would say, of course slightly different than what you have seen in previous quarters, because of course naturally with the acquisition of HHI, we have increased our debt quite substantially, but still the net debt to EBITDA is below the three that we've previously indicated, it ended at 2.8. We're very happy also to sort of with the -- we're very happy to see that Standard and Poor has lifted a negative outlook and now sort of has put us on a neutral outlook because they also see that we will be able to generate cash in order to reduce our debt. We sort of still have a strong enough balance sheet to continue our acquisition strategy. And as you have seen this morning, we have just done an acquisition, as mentioned by Nico then of Evolis in within HID, which also sort of just shows that we will continue our acquisition strategy and we have the balance sheet to support it. Last but not least, the earnings per share is up with 18% for the quarter. And with that, I'll hand back to Nico for some concluding comments.
Nico Delvaux: Thanks, Erik. So conclusion is that it was a good quarter for us with an organic sales growth of 3%, organic sales growth complemented with very good growth through acquisitions of 6%, a record EBIT margin of 16.7% if we exclude HHI, a record EBIT of SEK5.5 billion, record cash flow of SEK6.7 billion and then very excited that we then finally could close the HHI acquisition and embrace the HHI people in the ASSA ABLOY family. We mentioned the impairment for Citizen ID in Global Technologies and it is clear that we continue to operate in an uncertain economic climate. We still see good momentum on the commercial side. We believe that the worst might be behind us on the residential side in North America. But definitely, in Europe, we believe that the residential side remain challenging now going forward into Q3. And therefore we have taken extra short-term cost measures and brought some of the MFP programs forward that in order to protect our bottom line and to protect our cash flow and to continue to deliver strong financial results with strong operational execution as we have done in Q2. With that, I give the word back to Bjorn for Q&A.
Bjorn Tibell: Thank you, Nico. It's time to open up for questions now. I know that there are more than 10 people who have indicated they would like to ask questions. So please refrain yourself to ask one question with one follow-up, so we can get through as many as possible. So, operator, this means we're ready to kick off the Q&A session. Please go ahead.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi, good morning. Thanks for taking my question. I'll ask one and a follow-up each at a time, but maybe starting with HHI, if you could come back with sort of like, what's the plan to get HHI margins back to historical levels? I think at least looking at the discontinued operations under Spectrum, it seems like the business deteriorated quite a bit while the process was ongoing. So maybe you can tell us how quickly, you think, you can get it back to where it was and also maybe the net interest impact from the integration?
Nico Delvaux: Yes, I can start with the part -- the first part and Erik perhaps can comment on the cost of the -- of the net -- net cost of the integration. Well, it is clear that indeed that HHI results has deteriorated over the last 18 months. They are of course operating in a challenging residential market in North America that has had an important negative effect on top-line, where they have seen around 10% negative growth in the first six months, and it had also an important negative effect on the bottom-line where the EBITDA level is today around 12% where historically the EBITDA levels has been around 18%, sometimes even a little bit higher. That has to do, of course, one, with the lower topline and two by the fact that they have seen an important cost inflation, they import a lot of goods from China, they also had higher material cost, higher logistic cost and then higher labor costs and general inflation like we have seen also. And it has been more challenging apparently for them to compensate that in a fast pace with better pricing. They are working on that today and we are very confident that results will already improve now in the coming quarters. We will see a good significant improvement already in the second half of the year. Of course, a little bit, with the actions we do, but I would say mainly be with the actions they have taken prior to closing of the acquisition. And then we are confident that as standard synergies will start to kick in as of next year that we then further will see gradual improvements. We don't see any reason why we cannot come back to those historical EBITDA levels. Historically, they have been at EBIT levels around at 16%. Of course, we -- at the beginning, we will have a PPA dilutive effect depending on a bit, on where the calculation goes, but that will give us a dilution of 4%, 5%. So at the beginning, it will be a bit lower. On the synergies, like I explained earlier, there is as well top-line synergies as bottom-line synergies. Top-line synergies are definitely through more product innovation on the mechanical side, further extending our customer share and then being sure that we remain in the driver seat, when it comes in the shift from mechanical to electromechanical and digital, not only at the front door but also the digitalization in the house where they have the installed base and where they also have the channel to market. We will work on the equity of their brands through innovation, through digital marketing to further lift that brand equity. We see very good opportunities in export business, growing the business in Central and South America, growing the business in some countries in Asia. And then on the cost side, they have very cost-efficient factories and logistics in Mexico and in Asia that we can, like I explained earlier, use to put more of our products in, produce them at a lower cost and then get better cost and better margins on our traditional business. And next to that, we see common purchasing and logistic scale advantage. Many of them, of course, it will take some time to kick in, but most of them should come much earlier than the five years, I would say, most of them if you can't realize them within the first three years, you'll not be able to realize them in five years neither. So we are quite confident that, again, we will see good improvement already in the coming quarters.
Daniela Costa: For that answer…
Erik Pieder: Yeah. And then if you look on the financial net -- we, as I mentioned before, the financial net for the full year, we now estimate to be roughly SEK2.5 billion with the present interest rate you can sort of be slightly below 5%. That is what we calculate right now.
Daniela Costa: Thank you. And just in terms of the follow-up question, can you comment on the backlog you have left still in, and do you still have a backlog left in Global Tech? I know you mentioned it reduced this quarter, which was a great help to growth, is there still some extras left to help in Q3? Sorry if I missed that before.
Erik Pieder: No, you didn't miss it, because I didn't comment on it yet. We worked away another north of SEK200 million backlog in this quarter on PACS, Physical Access Control -- Readers and Controllers and you can say that we are almost done now. So, there's almost nothing left. So as of Q3, it will be back to normal business. That being said, even if you exclude that recovery of the backlog, we had good double-digit growth in Global Tech in -- in the quarter. Of course, now in Q3, also there the comparison becomes more challenging. We had an organic growth of 19% for Global Tech last year. So we will have one working day less again in Q3 this year, so the comparison will become more difficult. And on top of that, we have of course the backlog, which is now worked away.
Nico Delvaux: Thank you.
Daniela Costa: Thank you.
Nico Delvaux: Thank you.
Operator: The next question comes from Guillermo Peigneux from UBS. Please go ahead.
Guillermo Peigneux: Hi, good morning and thank you for taking my question. I guess maybe a couple of questions. One, EMEIA organic growth and then one on America. So the same question but regarding both end markets. So I guess comps are getting tougher for both, and I wanted to check what you saw during the quarter in EMEIA in terms of the developments there, maybe in the regions, you mentioned. And then in Americas because it seemed to be that the worst is behind us or what you saw in Americas during the quarter that makes you think that that could well be the case. Thank you. And I have a follow-up question after that.
Nico Delvaux: If I start with the US, like I mentioned earlier on the commercial side, we still see good momentum, we see our spec business still up higher single digit. And on the commercial side, our first concern is not necessarily the market conditions, it's more the difficult comparison with a year ago. Because also in Q3 last year, we grow in the Americas 17% organically and this year, of course, we will have also in Americas one working day less, which cost us around 2% organic growth. But I mean, on commercial, it continues like before and the same comments as before, similar activity levels as before. And if you look through the quarter, it has been a similar pattern now also going into the beginning of July, although it's a short month, and difficult to read, it's also similar pattern. On the residential side, we have seen a deceleration of R&R and we have seen a big drop in new builds. I would say that this did not affect the Americas division too much, it affected much more the Entrance System division with their garage door business and with their fencing business and it affected APAC because of the export out of Australia of the window hardware business. As you know, we excluding HHI definitely today are very small on the residential side. I commented on what happened with HHI which is 100% on the residential side. The reason of optimism is that, that in recent weeks, we see in the market that that people are definitely more optimistic with the new inflation figures that came out with the expectations on interest rates and so on and the fact that there is still a significant deficit in new housing in the US. And therefore, we believe that perhaps things have bottomed out and that we should start to see an improvement perhaps more towards the latter part of the second half of this year. The picture on the commercial side, I think is very similar in Europe. Also there, high single digit growth of our spec business, still good momentum, the picture is different on the residential side for two reasons. Because we are, if you exclude HHI, much more exposed in Europe on the residential side, it's around 40% to 45% of our business in Europe and there we believe we are not through yet. We continue to see challenging market conditions on the residential side as well on R&R as on new build. We see that little bit everywhere in Western and Eastern Europe. I would say the only bright spots for EMEIA is Middle East, Africa, India where we have good double-digit strong growth. But all other regions are suffering from that slowdown on the residential market. And the most decline we've seen in the Nordics, especially in Sweden, where we have relative important part of our business that goes to OEM. And OEM is of course new build residential. New build residential in Sweden has, because they have fallen off the cliff -- the cliff, normally there is around 100,000 new houses that are residential houses that are built in a yearly basis in Sweden. We are today at a run rate of 20,000. So it's five times less than the historical run rate and of course that has an effect on our OEM business. It has an effect on topline, it has an important effect on bottom line because Nordics is our, by far our most profitable region. So in the mix that also puts challenges on the -- on the bottom line. And as we -- we don't believe that it is over yet, we have decided to implement further cost measures as Erik explained. We have brought forward some of the MFP programs, that will realize another extra SEK100 million of MFP savings this year already by bringing forward those projects. And then we have the SEK900 million extra savings that we will do of which one-third is already realized, SEK600 million still to go and it is mainly for EMEIA, given the residential market conditions.
Guillermo Peigneux: Thank you. And very clear detail. Thank you. And I wanted to actually ask about EMEIA, given the tougher comps as we come into next year or sorry into the second half, you did report a good operating leverage in this quarter despite the drop in activity. I just wonder, how sustainable that is excluding obviously all these actions that you're putting in place there? Thank you.
Nico Delvaux: Well, it's clear that despite all the actions we are doing, the good operating leverage, we believe that our margin in EMEIA is still low and therefore also the extra measures, we will take now in the second half of the year and we expect with it -- with what we know today, an improvement of the margins for EMEIA in the second half of the year. Thanks to this extra cost measures that we will do.
Guillermo Peigneux: Thank you.
Operator: The next question comes from the line of Vivek Midha from Citi. Please go ahead.
Vivek Midha: Thanks very much, everyone, and good morning. I had a question about the construction market in Europe. You called out the OEM channel is particularly difficult. On the other side within the distribution channel, how do you view the channel inventory at this stage? Have you seen any movements in that? Thank you.
Nico Delvaux: Yeah. Of course, if I talk about the Nordics, you also have some destocking. We have also definitely the destocking with OEMs that gives us that double dip for the OEMs in the Nordics, like we have seen in France a couple of quarters ago. But I would say that is not a significant argument that explains the results in EMEIA. The explanation for the result is really that the residential market is down in general and that the new build residential market is down in a very significant way in Europe.
Vivek Midha: Thank you very much. And then my other question was just on pricing developments. Any updates on how you see that developing, you've done 4% in Q2, the same as Q1. Do you expect that to decelerate into the second half or how do you see that developing? Thank you.
Nico Delvaux: Yeah, of course, we have had the price carryover of around 2% from last year and then we further continued to increase prices in Q1 and even in Q2. I would say for everything that is not steel related, for steel related, we were able to -- for steel related products, we were able to keep the price. And where steel indexes stay -- where steel indexes are today, we are happy that we can keep the prices up to the level where they are today because it gives us good occasion. But for all the rest, we will continue to increase prices, of course, when you have a market slowdown, it becomes more challenging to further increase prices. That's one. And two, of course, the comparison with last year becomes more challenging. So, therefore, you should expect a lower price effect going into the second half of the year now.
Vivek Midha: Thank you very much.
Operator: The next question comes from Lars Brorson from Barclays. Please go ahead.
Lars Brorson: Yeah, good morning, Nico and Erik. First one for Erik, perhaps just coming back to HHI, can you clarify, Erik the EPS accretion in 2024 is post synergies and post PPA? And I wonder whether just on those two items, you might be able to help us a little bit with what would be good numbers to assume. And maybe higher level on HHI, can you remind us of the split between revenue and cost synergies? I guess the 100 million was with -- the original 100 million was with your US residential business than the group, so I've been assuming that you've been baking in some more cost synergies as the market deteriorate. I wonder whether the expected recovery in the US residential market changes that view on cost synergies. And if I can squeeze a quick comment in just on the non-core of HHI plumbing and hardware, any update there Nico would be helpful. Thank you.
Nico Delvaux: Perhaps I can start and perhaps, I'll start with the plumbing business. And like we said earlier, we were not in plumbing business before we acquired HHI. We started to study little bit the plumbing business from outside. And we had 18 months time to do so. But it's only now two weeks, three weeks that we are the part-owner of HHI. So it's a little bit too early, we are still in the learning phase, I got my personal lesson last week when I was there. So too early to give more updates on the -- on the plumbing business details. When it comes to the synergies, let's say that they are significant on the cost side and on the sales side. We don't want to give the exact number, but it's not so that it's very skewed towards cost of sales. Both are rather equal importance. And then I don't know if Erik wants to comment on EPS accretion.
Erik Pieder: No. One thing, when we talk about the synergies, the $100 million, as we've said before, it's not the hockey stick, which means that it's a gradual implementation of the synergies. If we then look more on the PPA and we of course are now doing the valuation to sort of come with the final number. Today, we are using roughly 20% but we have to see what comes out of, let's say, when we do the whole evaluation of the marketing, of the brand technology and so forth like that. But as mentioned before that we foresee to have a slight positive EPS accretion from HHI during 2024.
Lars Brorson: Thank you.
Operator: The next question comes from Andrew Wilson from J.P. Morgan. Please go ahead.
Andrew Wilson: Hi, good morning. Thanks for taking my call, question rather. On the Q3, you made some helpful comments in terms of EMEIA and Americas. I think previously you've helped us a little bit on any changes you've kind of noted in the start of the quarter compared to the trends on the quarter you just reported. And so I was just wondering if you can maybe talk a little bit more broadly or anything you'd point out in terms of a change sequentially in the -- in early Q3 versus the Q2 trends?
Nico Delvaux: So if you look at run rate -- run rate in the quarter, if you're correct, for working days, has been very similar throughout the quarter. And again, July is a short month and we are short into the month but the starting run rate in July has been very similar to the run rate we experienced in Q2.
Erik Pieder: And perhaps just to add, we know, as you mentioned before on Q3 that there is one working day less in Q3 this year versus the same period last year.
Nico Delvaux: One working day less. We will see a little bit less price. And of course, we have eaten up like we mentioned the backlog in PACS and HID and Global Technologies and it will be a difficult comparison versus last year. I think Entrance Systems at 20% organic growth last year was a record quarter. Americas -- sorry, Global Technologies at 19% organic growth last year, also a record. And I think Americas had 17% organic growth last year in Q3. So it is definitely a challenging comparison with a year ago.
Andrew Wilson: Thank you. And then just on a follow-up and apologies, another one on the HHI synergies. I guess, I kind of take your comments around being able to deliver most of these within three years or you can't deliver them. And then the comment on it not being a hockey stick. If we assume, I guess the full $100 million over the next two years, is that a decent starting point for our models?
Erik Pieder: Sorry, I didn't get the last point. I mean, first of all, I think that we have said the synergies is not on three years. It's a longer period. Then -- can you repeat the last part because you put a value, I think?
Andrew Wilson: Yeah, sorry, I was talking to the $100 million more generally in terms of, obviously the synergies, and I think you made a comment earlier of saying, you would expect to be able to deliver the majority of that within three years. Otherwise, it was challenging to believe you would deliver them. So I was wondering in terms of -- can we assume that, I guess the majority or the vast majority of those synergies would come in the first three years rather than over the five years?
Erik Pieder: Yes, I think it's a reasonable assumption. Of course, when we talk about raising brand equity and through that then getting better top line and better top line -- bottom line that's a ongoing process, you cannot increase brand equity from one day to the other. So that might take a little bit longer. And then of course some of the new product development depending on what product range we talk about and how innovative and how new this is, it might took -- also take a little bit longer. But if you look in the mechanical core, if you look at the electromechanical digital core, you are definitely right that from a sales perspective that -- that should be the case. And the same is true from a -- from an operational perspective. If you want to fill the factories, we should be able to do that within the first three years. Yes.
Andrew Wilson: Thank you. Very helpful.
Operator: The next question comes from the line of Aurelio Calderon from Morgan Stanley. Please go ahead.
Aurelio Calderon: Hi, good morning, Nico and Erik. Thanks for taking my questions. The first one is around Entrance Systems and I realize that you had a very strong operating leverage and we've been above the 16% mark. And so I just wonder what -- what's been driving that very good operating leverage development. And if you can comment on -- expectations going forward, given obviously the elevated levels relative to history and I'll take the second one after this one.
Nico Delvaux: Yeah, we said for Entrance Systems at mid -- mid-term our ambition was to come to close to 16%. So we're now short term above 16%. So, very happy with that performance. I must say that we have seen a margin improvement in all four segments. Very good operational execution and the fact that we cleared those four segments also made us more focused within the segments. And it was easier to realize those synergies within the segments. That's one aspect. The second aspect definitely also now in the quarter is that we go faster in service and in equipment and we make better margins in service than in equipment. So in the mix that's a positive. Third one is that they've done in general a very good job in pricing -- price increases. So they have a very good occasion from price versus cost in general and for our residential business especially in North America in particular. As you know, steel wound up in a very significant way 18 months ago in North America and they were able to compensate that to a very good price increases. And so the biggest margin improvement from the four segments we have seen in the residential segment.
Aurelio Calderon: That's great. Thank you. And the second one probably more for Erik. It's just touching on the cash flow generation and I think obviously [indiscernible] has been very strong. But I think Global Tech was also strong and there wasn't really any obvious weakness. So what's been driving business’ better ability to deliver it more confident that you can secure your supply chains, so you don't need to have that excess inventory or if you can comment on what's been the main driver of that very good working capital development.
Erik Pieder: No, I think, you already have mentioned a few of them as you said, it's -- today, it's a much secure supply situation as what we've seen before. And that of course also generates that we can sort of look into our inventory from that point of view that we need to have less safety stock. But I would also say, on top of that, I think all divisions have also been very good and also working very actively in reducing their inventory and I would also say that if you look also on our receivables, I think also we have done a good job in making sure that we collect the money. And -- Entrance, I would say is the star but you also see in a number of the other divisions that they're also doing a very good job with generating cash.
Nico Delvaux: I would add two points. Obviously, we had very strong bottom line, which is the first reason why you generate cash flow. And then I think in the inventory we have of course also now inventory coming in at lower inflation figures, material prices have gone down, and where we had a lot of inflation built in a year ago, we have the new stock that is lower and that of course helps also on the inventory side.
Aurelio Calderon: That's great. Thank you.
Nico Delvaux: I think we have time for one more question, operator.
Operator: The last question is from the line of Gael de-Bray from Deutsche Bank. Please go ahead.
Bjorn Tibell: Deutsche Bank is muted. We might be --
Operator: Might we drop the line?
Bjorn Tibell: Okay. Move over to the next one then, please.
Operator: The next one is from Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Hi, thanks very much. Good morning. Just a quick clarification, I guess, and a follow-up then. So on clarification, just trying to reconcile your comments on strong US residential in Americas division and then weak residential -- US residential --
Bjorn Tibell: We seem to have lost the operator. I mean, I guess that means we have to round up this meeting.
Erik Pieder: Perhaps I can answer the question because I think the question was strong residential in US and weak residential in Europe, just to correct, I don't think, I said strong residential in the US. I said, we definitely also in Q2 had a challenging market conditions on the residential side in the US. What I said is that we are more optimistic going forward in the US that the residential decline might have bottomed out and that we should start to see improvement towards the latter part of the second half of the year and going into next year. Whereas in EMEIA, we don't see that improvement coming yet and we believe that also in Q3, we will still have a challenging market condition on the residential side, therefore, all the extra cost measures we do in EMEIA.
Bjorn Tibell: I think that means we have to round up this conference. Alex, if you had another question, please feel welcome to reach out to me at Investor Relations. And if there are any other questions, please feel welcome also to reach out to us. That means that we will round up now. We would like to wish you a happy summer now and then we look forward to speaking to you again after the summer. So thank you for now.
Nico Delvaux: Thank you.
Erik Pieder: Thank you.